Operator: Good day, ladies and gentlemen, and welcome to the EMCORE Corporation Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this call maybe recorded. I would now like to introduce your host for today's conference, Vic Allgeier. You may begin.
Victor Allgeier: Thank you, and good afternoon, everyone. Before we begin, we would like to remind you that the information provided herein may include forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Exchange Act of 1934. These forward-looking statements are largely based on our current expectations and projections about future events and financial trends affecting the financial condition of our business. Such forward-looking statements include, in particular, projections about our future results, statements about our plans, strategies, business prospects, changes in trends in our business and the markets in which we operate. Management cautions that these forward-looking statements relate to future events or our future financial performance and are subject to business, economic and other risks and uncertainties, both known and unknown, that may cause actual results, levels of activity, performance or achievements of our business or our industry to be materially different from those expressed or implied by any forward-looking statements. Neither management nor any other person assumes responsibility for the accuracy and completeness of the forward-looking statements. We caution you not to rely on these statements without also considering the risks and uncertainties associated with these statements and our business that are addressed in our filings with the U.S. Securities and Exchange Commission that are available on the SEC's website located at www.sec.gov, including the sections entitled Risk Factors in our annual report on Form 10-K and our quarterly reports on Form 10-Q. We assume no obligation to update any forward-looking statements to conform such statements to actual results or to changes in our expectations, except as required by applicable law or regulation. With us today from EMCORE are Dr. Hong Hou, President and Chief Executive Officer; and Mark Weinswig, Chief Financial Officer. Mark will review the financial results and Hong will discuss business highlights before we open the call up to your questions. I'll now turn the call over to Mark.
Mark B. Weinswig: Thank you, Vic. Good afternoon, everyone. Today, I'm going to focus my discussion on our second fiscal quarter operating results and our balance sheet. Consolidated revenue for our second fiscal quarter totaled $42.3 million, which is a decrease of $7 million or 14% over the previous quarter. The decrease was primarily due to lower Fiber Optics revenue as our broadband fiber shipments fell. Our Q2 revenue guidance was $45 million to $49 million. On a segment basis, our Photovoltaics business accounted for $19.2 million or 45% of the company's total revenue. This represents a $0.5 million or 3% decrease from the prior quarter. As we have said previously, while we remain confident in the long-term prospects of the space solar power business, our revenues in any given quarter may be a bit lumpy. The Fiber Optics segment accounted for $23.1 million or 55% of the company's total revenue. This represents a decrease of roughly $6.5 million or 22% from the prior quarter. Hong will discuss the outlook for the Fiber Optics business later in the call. On a segment basis, Photovoltaics gross margin increased 2 percentage points to 32.5%. We were able to reach gross margins of greater than 30% this quarter, which is our target. Fiber Optics gross margin was 7%, 10 percentage points lower than the prior quarter. We recorded a warranty charge on previously divested product lines of $1.4 million in the quarter. Excluding this, the gross margin from the continued operations in Fiber Optics would be 13.5%. Our margins have been impacted primarily due to lower revenue levels and our $1 million negative impact from the TXFP product line through the ramp-up stage. We expect our gross margins in the Fiber Optics segment to improve in future quarters as we complete the ramp-up of our new product line at our contract manufacturer and our Fiber Optic revenues increase. Consolidated gross margin was 18.5%, a 3.7 percentage point decrease from the prior quarter, primarily attributable to lower Fiber Optics segment margins, partially offset by higher Photovoltaics segment margins. Excluding the warranty charge on previously divested product lines, consolidated gross margins would be 22%. Total operating expenses for R&D and SG&A were $10.6 million, excluding the flood-related charges of recoveries, gain on sale of assets, legal settlements and impairment charges. The decrease in our SG&A operating expenses from the prior quarter was primarily due to reductions in certain R&D expenses. We believe that our operating expenses will be in the $11 million to $11.5 million range per quarter going forward. On a GAAP basis, the consolidated net income for the second quarter was $11.7 million, $8.9 million better than the prior quarter. We recovered $14.8 million from the insurance claims during the quarter and do not expect any further amounts in future quarters. Our GAAP net income per basic and diluted share was $0.44. Our non-GAAP net income after excluding certain adjustments, all of which are set forth in the non-GAAP tables included in today's release, was income of roughly $30,000 versus roughly $0.1 million of income in the prior quarter. Please note that we have included additional information regarding amortization, stock comp and other items in today's release to provide further clarity on our results. This is the second consecutive quarter that the company has been both GAAP and non-GAAP profitable, and we are quite pleased by the achievement. Now on the order backlog, which we define as purchase orders or supply agreements accepted by the company with expected product delivery and/or services to be performed within the next 12 months. At March 31, the company had space solar order backlog of approximately $36.5 million. Moving on to the balance sheet. At the end of March, the company's cash, cash equivalents and restricted cash balance was $6.2 million. Please note that this did not include a receipt of $8.2 million of cash received on April 2 from these insurance recoveries we discussed previously. As a result of our final insurance recoveries, we have significantly improved our net working capital balance to be at the highest level in the last 8 quarters. Regarding the insurance recovery for the flood damage, as we mentioned previously, we recognized $14.8 million of recoveries in the second quarter. The cash payment of $8.2 million was made in early April, and it's reflected in our other current assets at March 31. Over the past few months, we have made significant strides in improving the business structure as evidenced by our move to profitability. We look forward to showing further progress as we continue to drive execution and increase our revenue levels. With that, I will turn the call over to Hong, who will discuss the company's strategic and operating initiatives and provide revenue guidance for the third quarter.
Hong Q. Hou: Thanks, Mark. Good afternoon, everyone. As Mark discussed, we achieved the consolidated revenues of $42.3 million, which represents a 14% sequential decline from $49.3 million in the December quarter. We came in below our revenue guidance of $45 million to $49 million. The revenue decline is related primarily to the softness of our cable TV broadband business, which showed a sequential drop of $6.5 million or about 30% in revenues. Despite of the lower revenues and partly due to the receiving the final payment from the insurance claim related to the Thailand flooding in the fall of 2011, we showed a significant net profit in Q2. In addition, on a non-GAAP basis, which excludes certain items that Mark noted, we were able to achieve a slightly positive operating income, which continues to be the positive outcome of the restructuring that the company has been focused on over the last year and our progress in a tough containment. While we do not have control on the pace of capital spending of the service providers for the Fiber Optics communications, we have established the business structure and operational discipline that should make our financial performance more predictable going forward. We continue to be excited about the combination of our our business and product portfolios and the strong potential of revenue growth and an improvement in profitability from the emerging business in the Fiber Optics segment. Now let me give you an update on our businesses and how we respond to the market challenges. First, I will start with the Space Photovoltaics business segment. Please note that the scope of the business is primarily in the aerospace and defense area now. Our revenue in the space photovoltaics for the quarter demonstrated a slight sequential decline comparing to the December quarter from $19.6 million to $19.2 million. With the benefits from the early CapEx investments to improve the production yields and also due to the more efficient loading of the manufacturing in OpEx, the gross margin improved from 30.5% to 32.5%. The operating income from this business segment also improved to more than $4 million in the March quarter, which is among the best results that this business has been able to achieve over the last several years. Since the beginning of the year, EMCORE has been awarded a number of contracts with a total value in excess of $40 million for both commercial and government space programs over the next 2 years. The order backlog as of March 31 for delivery over the next 12 months showed a sequential increase to $36.5 million. As we've discussed in the last quarter, in May, we signed a contract with an international customer with a total contract value in excess of $20 million. And we believe there are other major opportunities in this market, which we are pursuing very aggressively. The overall market dynamic in the U.S. commercial satellite space is softening, but we are seeing strong demand from international customers and believe that we remain well-positioned with our technology and cost structure to continue to be very competitive. We have a number of government-sponsored research programs which are targeting higher efficiency and lighter weight solar cells for spacecraft applications. We have recently set another world record for space solar cell performance with an IMM design and a measured efficiency of 34.8% in flood-ready hardware. We are leveraging our existing contract from the U.S. Air Force ManTech to accelerate the commercialization of this advanced technology. We plan to introduce its new solar cell to well in production over the next couple of years. In the June quarter, for our Space Photovoltaics business, we expect approximately $4 million to $5 million sequential decline in revenue. This is mainly due to some delays we are experiencing with the start of a few new programs. In addition, we are seeing a mix shift towards more international-based business, which is the lower margin traditionally. In summary, our position in our Space Photovoltaics business is well-positioned in the industry and our production infrastructure is well-capitalized. The decline in the June quarter is temporary, and we are confident that our business will recover. Our forecasted revenue for 2013 is expected to be near record levels, and our profit margins are constantly -- are currently projected to show marked improvement over the last year's results. Now let me discuss our market position and the business outlook in our Fiber Optics business segment. In our broadband cable TV business, during the December quarter, all manufacturing infrastructure was fully restocked and the revenue recovered to pre-flood levels. The growth market recovered to 29%. However, the booking activities for the cable TV business has been very slow starting in December 2012. We that in the beginning it was an easy seasonality because the March quarter is usually weaker. However, the softness continued throughout the March quarter due to the overall decline in capital spending from the CATV service providers. Over the past 2 weeks, 2 major cable service operators reported their CapEx in the March quarter and their budget for the entire 2013. Compared to the December quarter, their March quarter CapEx spending decreased over 20% in the infrastructure upgrades category, which related to our products. On a positive note, they reported a generally higher total annual CapEx spending plan for 2013 versus 2012. For instance, one MSO reported a 16% increase in their annual CapEx budget for operating spending, and in their March quarter spending represent only about 18% of their annual 2013 total budget. This suggests a much higher spending rate toward the second half of the year. So we are hopeful that the CapEx will be more back-end loaded for their 2013. We believe that the slowdown in MSO CapEx spending, in addition to the macro softness in communications CapEx, is still partially to the requirements and the validations of transport equipment and its suitability for the new DOCSIS 3.1 standards. The transport equipment is required to be able to transmit signal up to 1.2 gigahertz over the legacy HFC infrastructures, some of which were deployed decades ago and designed to transmit signals up to 1 gigahertz only. This retrofit strategy is most effective in expanding the bandwidth capacity of the HFC infrastructure to compete with the fiber-to-the-home services provided by telcos. The validation, however, seems to be taking longer than expected. In light of the DOCSIS 3.1 upgrade for the MSOs, we plan to take advantage of this dynamics and expand product offering to nodes and return path transmitters as the DOCSIS 3.1 has imposed new requirements for these products. These are the product areas where EMCORE has not had its product present traditionally. The lower-cost manufacture base for cable TV product established in China enables us to compete more aggressively, and the successes in expanding our product offerings to the same customer base represents a solid business field opportunity. The revenue outlook for the cable TV broadband business still appears soft for the June quarter. We are optimistic about the future of this business based on the engagement levels and the qualification activities on our new product, as well as the CapEx outlook given by the MSOs. Our goal is for the cable TV business to return to the approximately $18 million to $20 million quarterly revenue level in the second half of the calendar year. During the March quarter, the revenue from our telecom product lines increased approximately 5% compared to the December quarter. The revenue contribution from new products, Tunable XFPs and micro-ITLAs, for the March quarter is approximately $1 million. Despite the general decline in optical components in the telecom market, we saw a relatively strong demand for ITLA products. While demand is still strong, we lost the market share for the 40-gig slots during the annual press negotiations as we discussed before. But we believe that the coherent market segment continues to grow and EMCORE will be the leader -- leading player in the 100-gigabit market. EMCORE's ITLA design continues to demonstrate advantages over our competition, especially when it comes to longer distance and higher data reach, such as a 100- and 400-gigabit per second. While it is still early, we are starting to see demand for our new coherent modulation applications such as the 16-QAM targeted at the greater than 100-gigabit per second applications. For instance, during the quarter, we secured ITLA design wins for 2 400-gig coherent systems. During the March quarter, we completed the comprehensive Telcordia qualification for our new product, micro-ITLA, and commenced the volume production. Since the general availability in March, we have increased our customers and design wins with micro-ITLA to a total of 6 OEMs so far. EMCORE's micro-ITLAs enabled the first multi-transponder to occur in the 100-gig LAN cards in the optical industry. The qualification and validation processes are for customers' next generation the 100-gig platforms are expected to be completed in the September quarter. We expect a significant increase in demand for micro-ITLA in the second half of the calendar year when customers commence manufacturing of their new LAN cards. The projected demand for this program is about 50,000 units or about 40 million other [ph] per year. The micro-ITLA not only enables new applications due to its superior performance with a lower power consumption, smaller form factor and a lower cost in operating and also in the product itself, but also serves as our key strategy to drive positive market share shift as the micro-ITLA will eventually cannibalize the regular IPLA market. We believe that EMCORE has a significant lead over competitions in micro-ITLA technology and production readiness. We're also formulating some new product strategies in concept by leveraging the superior performance of our tunable laser technology. Our goal is to stay ahead of the competition where there is advance technology development and to commercialize a full line of products for 40 and 100 gigabits in the higher coherent applications. On our Tunable XFP, we had challenges in ramping up the volume in the production. During the March quarter, we improved the process and tightened the spec distribution of the key components. As a result, the yield has improved dramatically. Although still slightly below the levels needed to make this product line profitable, our Tunable XFP products have been designed in for 15 customer programs and we have received some significant share allocation commitments from some key customers. We expect the Tunable XFP product will start to contribute to our revenue in a meaningful way in the near future. We continue to work on improving the yield to improve our product margin structure. We understand that the field is crowded with the 3 leading suppliers already shipping in volume. The competitive advantage of EMCORE's tunable XFP is that our products demonstrate better performance with both negative and 0 chirps, full-band tunability and higher output power. This is a key attribute and requirement for replacing 300-pin Transponders. The primary application for tunable XFP in 2012 has been to replace a fixed wavelength of DWDM XFPs. We believe the 300-pin Transponder replacement cycle is starting now. Turning to guidance. For the third quarter of the fiscal year 2013 ending June 30, our revenue expectation is in the range of $35 million to $39 million. We expect revenue from optical components to remain roughly flat in the June quarter. However, we will experience a revenue decline of approximately $4 million to $5 million due to a gap in our Space Photovoltaics programs as we have discussed previously. We have implemented certain cost-reduction activities in our Fiber Optics business to reduce overhead expenses. We have restructured several departments and have moved some nonessential functions to our operators in China. Although we are seeing revenue pressure, we have worked hard to establish a profit-focused culture, and we're seeing the benefit of that hard work now. In summary, we achieved another quarter of profitability on both GAAP and non-GAAP basis despite the depressed revenue levels. We have established the business structure and operational discipline that will put more emphasis on profitability. Our focus this quarter is on completing multiple new product introductions for our cable TV business and ramping up the revenue contribution from the tunable XFP product line. We look forward to discussing our progress in the future quarters. With that, I will turn the call over to Q&A.
Operator: [Operator Instructions] Our first question is from Krishna Shankar of Roth Capital.
Krishna Shankar - Roth Capital Partners, LLC, Research Division: Hong and Mark, as you look to the second half of calendar year '13, what kind of signals are you getting from your cable broadband customers in terms of revival in CapEx? Do you have orders which could suggest a revenue recovery in the September and December quarters in the cable part of your business?
Hong Q. Hou: Yes. So -- Krishna, thank you for the question. What we have been tracking the market CapEx spending is to look at our customers' customer. For example, Comcast and Time Warner Cable's capital spending plan. Usually, very good in breaking down the different categories. Again, the categories related to our product are related to the upgrades in scalable usage structures. As I discussed, for example, Time Warner Cable, in their March quarter, they only spent about 18% of the entire year's CapEx plan, but they were still giving the entire year CapEx plan the same as they guided before, which is 16% higher than 2012. But we should have seen -- our customer level starts looking -- to increase the order rate, but we're still waiting for that to happen. When we talk to the customers very frequently, a couple of times week, they are anxiously waiting for that flood gate to open. But so far, as I've discussed, the order rate is still a little soft. So that's why we only guided to a flat sequential revenue for Fiber Optics.
Krishna Shankar - Roth Capital Partners, LLC, Research Division: Okay. And then the Space Photovoltaics business, is this kind of just timing in terms of some of the international programs ramping and softness in the U.S., so you would expect revenues perhaps to resume growth again in the September quarter?
Hong Q. Hou: Yes. So for the space photovoltaics business, the business has been very robust. So traditionally, we do $65 million to $70 million a year in revenue. And this year, we believe, we'll be doing $70 million to $75 million. So the first couple of quarters has been extremely strong in terms of the top line and bottom line. We achieved over 20% of operating income for that business. And yes, you're right, because of the international -- the couple of international program delays, so this create a gap for the current quarter. So like I said, this is temporary. We have the visibility. Good thing for that business is that we have the booking for multi-years to purchase contracts and purchase orders. September, October -- September, December quarters will be very strong. It's going to be recovered back to the same level. So the guidance in the June quarter is a little soft, but it's just because of this temporary dip in the Space Photovoltaics business. But fundamentally, it's not changed. It's still a very strong and profitable business.
Krishna Shankar - Roth Capital Partners, LLC, Research Division: Okay. And my final question on the tunable XFP. You said you've seen dramatic improvements in yields. Are gross margins there improving nicely? And do you expect to recapture some market share in the -- during September quarter, you said you had some commitments from customers?
Hong Q. Hou: Yes, we do have the commitment from some certain customers in the share allocation. Here, we have made significant progress in improving the yield. And -- but I just said, at the current level it's still not -- it's just a little shy below the product line profitability. So our dilemma is we can run at this and then we'll be loosing money from this product line. Or we can run in a moderate rate, but in the meantime, to get our yield level to the next level so that we are making money from this product line as well. So we proceeded very cautiously, but the commitment is still there from the customers.
Operator: Our next question is from Dave Kang of B. Riley.
Dave Kang - B. Riley Caris, Research Division: First, regarding your third quarter guidance, you said optical to be flat. Now all 3 products, cable TV, ITLA and tunable XFP to be flat literally or can you just go over the dynamics between those 3 products?
Hong Q. Hou: So Dave, so for the cable TV, we usually get a little bit better visibility than the telecom product. We know it's going to be probably flat or slightly lower. And for the telecom, it's going to be flat or slightly higher sequentially.
Dave Kang - B. Riley Caris, Research Division: But it doesn't sound like tunable XFP will ramp any -- like $2 million, $3 million that you guys talked about before?
Hong Q. Hou: Yes. So it will be better than the March quarter and we, again, as I said, we're just ramping up cautiously because you balance the output with the yield for the improvement. So it's definitely going to be better than the March quarter, but I think we wanted to work out a couple of things in the production line and the processes to enable the September quarter to be a more significant ramp.
Dave Kang - B. Riley Caris, Research Division: And obviously, you guys said yield was about 70%, so I thought that was the number that -- your target. So has it dipped below 70% recently or just the latest on the yield situation?
Hong Q. Hou: So we have seasonally different layers of -- I mean, yes, the profits yield has improved to the level we expected, but more than now, is the integration of the firmware, to test the criteria where the customers have to be totally synced up. And in that process, we found there were a couple of things in testing we need to improve. And that is causing a couple percent -- a few points lower than our expected for its even yield point.
Dave Kang - B. Riley Caris, Research Division: Okay. So will that be addressed this -- I mean, are you confident that will be worked out this quarter then or...
Hong Q. Hou: Yes. So that -- I had to say, it's easier to address in many ways. You can rework it and it would not be scrapping the materials. So we're just still working on that pace in improving the firmware software test protocol to improve our output.
Dave Kang - B. Riley Caris, Research Division: Right. Now you said your customers -- you still have commitments from your customers, but obviously, there are 3 other alternatives. I mean, how long will they -- are they willing to wait before they go to your competitors?
Hong Q. Hou: That's right. So what we -- our original commitment from customers was really both for both the fixed wavelength replacements and the 300-pin Transponders. You're absolutely right, we wanted to get this to market, to production, to volume as soon as possible. But right now, I think we're still very confident for this allocation for 300-pin replacement, where even though the field is a little bit crowded already, but our product has a performance advantage, which enables the customers for the replacing -- further replacing those 300-pin Transponders.
Dave Kang - B. Riley Caris, Research Division: And then your ITLA, I mean, so ITLA will also be kind of flat to up slightly?
Hong Q. Hou: Yes, the ITLA, we expect to be flat or up a little bit, but I think they really -- a lot of -- we're seeing a lot of activities with micro-ITLA. Even some of the traditional ITLA customers, they love to get their product fully qualified and validated and then using micro-ITLA. So that's why we were expecting the ITLA level to be about the same.
Dave Kang - B. Riley Caris, Research Division: So what is your current capacity for micro now and what is your plan over the next couple of quarters?
Hong Q. Hou: So we are -- for the next couple of quarters, we are planning to add some more capacity because, as you know, the micro-ITLA is sharing the same manufacturing processes as tunable XFP -- Tunable TOSA. We're watching for the timing of the market, and we plan to add more capacity in the future.
Dave Kang - B. Riley Caris, Research Division: Are you concerned at all that you might be losing market share even in 100G because, I mean, NeoPhotonics, their call is right after you and they give a pretty big guidance for the -- in the current quarter. Obviously, not much information, but their 40G, 100G number is pretty strong. So are you concerned at all that maybe you're losing market share? I mean, can you just talk about the competitive landscape?
Hong Q. Hou: So -- yes, as I said, for 40-gig, we know we'd lose some market share. But for 100-gig, we believe we still have the leading market share. It's also dependent on the customers. So no matter what, I think the 100-gig is going to be a growing market and the trend is going to be shifting more from 40 to 100, and the trend is also going to be shifting from regular ITLA to micro-ITLA. So that's why I think the best strategy you encounter on that competition is not to drop the price and have a depressed margin to get some more market share in the sort of challenging customer accounts, but rather to provide enabling product, for example micro-ITLA for 100-gigabit applications, because the market is moving into that general direction.
Dave Kang - B. Riley Caris, Research Division: Got it. And the last question is, I mean, cable TV obviously softer than expected. I mean, how much of an impact from a couple of your customers involved in the M&A activities? Did that play a significant role in the March quarter drop?
Hong Q. Hou: We don't believe so, Dave. The reason is that a platform has been deployed in different MSOs, in their franchise, in their head-ins, and hub, and you know, different offices. Yes, certainly, we are paying close attention to our customer level. There had been consolidation going on and the 5 major OEMs becomes 3 major OEMs. But the slow down, we have talked to all of them, has nothing to do with the consolidation at their level. And it's really primarily due to CapEx spending slow in the first quarter, except from the MSOs reported and also the DOCSIS 3.1, the new standard adoption slowed down the validation of the new gearboxes to run on the legacy infrastructure a little bit.
Dave Kang - B. Riley Caris, Research Division: Got it. What about Motorola going over to Arris. I mean, Arris is not exactly your major customer. So will there be any changes as far as Arris is concerned, now that Arris owns -- they own Motorola?
Hong Q. Hou: Yes. Certainly, we -- well, we've recognized the important thing is, as I said, the platform has already been deployed in the different offices, the hubs, in the head-ins. And no matter what the technology and the business and their management, what company they are -- managing it. That product, that infrastructure, that platform has to be continued to be supported, and we got a clear direction from our customers as well. We asked them, so should we consider to converge the platform, is there any dominant platform versus others, and they all told us in a true consolidated situation -- they will be going forward supporting both platforms. So we are watching it very closely, but we don't think there are any risks to our business because of their consolidation.
Operator: [Operator Instructions] I'm not showing any further questions in the queue. I'd like to turn the call back over to management for any further remarks.
Hong Q. Hou: Yes. Well, thank you very much for dialing in today. Over the next couple of weeks, we plan to present at the 2013 JMP Technology Conference in San Francisco on March -- on May 13 and B. Riley Annual Conference in Santa Monica on May 21. We look forward to talking to you during these events. Thank you very much. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.